Operator: Hello, and welcome, everyone, to today's Commercial Metals Company Fourth Quarter and Full Year 2014 Earnings Call. Today's call is being recorded. [Operator Instructions] I would like to remind all participants that during the course of this conference call, the company will make statements that provide information other than historical information and will include expectations regarding federal legislation, the company's strategy, economic conditions, the effects of recent capital investments made and other actions taken by the company, the company's capital budget and the company's future results. These are forward-looking statements and may involve speculation and are subject to risk and uncertainties that could cause actual results to differ materially from these expectations. These statements reflect the company's beliefs based on current conditions, but are subject to certain risk and uncertainties, including those listed in the company's press release and described in the company's latest 10-K and 10-Qs. Although these statements are based on management's current expectations and assumptions, CMC offers no assurance that events or facts will happen as expected. All statements are made only as of this date. CMC does not assume any obligation to update them in connection with future events, new information or otherwise. Some numbers presented will be non-GAAP financial measures, and reconciliations can be found in the company's press release or on the company's website. And now for opening remarks and introductions, I will turn the call over to the Chairman of the Board, President and Chief Executive Officer of Commercial Metals Company, Mr. Joe Alvarado. The floor is yours, sir.
Joseph Alvarado: Good morning. Thank you for joining us to review CMC's fiscal fourth quarter and full year 2014 results. I will begin with highlights, and Barbara will then provide further financial details. I will then close out with comments on our outlook for the first quarter of fiscal 2015. After which, we will open the call to questions. As detailed in our earnings release this morning, we reported net sales of $1.9 billion for our fiscal 2014 fourth quarter, an increase of 12% from net sales of $1.7 billion for the fourth quarter of 2013. We reported net earnings of $34.9 million or $0.29 per diluted share for our fourth fiscal quarter of 2014. This performance marks a significant improvement over the same quarter in the prior year of $30.9 million or an increase of $0.26 per diluted share. For the full fiscal year 2014, we reported net earnings of $115.6 million, or $0.97 per diluted share, an increase of $38.2 million or $0.31 per diluted share over fiscal 2013. Net sales were $7 billion in the fiscal -- in fiscal 2014 compared to $6.9 billion in fiscal 2013. On a FIFO basis, net earnings for fiscal 2014 more than tripled over fiscal 2013. As indicated in the earnings release, our Board of Directors declared a quarterly dividend of $0.12 per share for shareholders of record on November 12, 2014. The dividend will be paid on November 26, 2014. In addition, yesterday, the Board of Directors authorized a new share repurchase program, under which the company may repurchase up to $100 million of CMC's outstanding common stock. The authorization of this share repurchase program underscores the confidence our board and management team have in our strategy and our ability to continue to invest in our business and drive long-term profitability while returning capital to stockholders. I will now highlight current trends and conditions in the strategic markets in which we operate, as well as provide an update on key initiatives accomplished during our fiscal fourth quarter. Many of the U.S. economic indicators that are relevant to our businesses are encouraging. Nonresidential construction spending was up 6% year-over-year. Private sector spending was -- led the way, increasing 9.4% year-on-year. Industrial production was also trending higher and apparent steel consumption in our product range was up 8.4% year-on-year. At our fiscal year-end, the backlog for our fabrication operations was up approximately 38,000 tons over the prior year. There are also signs that the U.S. economy continues to move forward with accelerated hiring in the private sector and positive job growth. These positive indicators contributed to the increase in shipments and provide a positive indicator for the future. Since our last update, U.S. Commerce Department has issued final rulings on the anti-dumping and countervailing cases against Turkey and Mexico related to reinforcing bar. These rulings were unanimously upheld by the International Trade Commission in a 6 to 0 vote. Substantial duties were instituted for Mexican companies, while inconsequential duties were issued for Turkish importers. We are pleased with the unanimous decision by the International Trade Commission and the duties that will apply to Mexican rebar imports. As part of our commitment to increase shareholder value by optimizing our portfolio, in the fourth quarter of fiscal 2014, we made the decision to exit our steel trading business headquartered in Zug, Switzerland. Over the next several months, we will wind down the order book. Furthermore, in September 2014, we made the decision to exit our steel distribution business in Australia. Despite focused efforts and substantial progress to stabilize and improve the results of this business, we determined that achieving acceptable financial returns would take unacceptably additional time and investment. Early in our fiscal fourth quarter, we completed the purchase of substantially all of the assets of a recycling facility in San Antonio, Texas. This bolt-on acquisition will ensure that we can secure a reliable, low-cost source of raw material for our Texas steel mill operation. Included in our acquisition facility, we purchased a new uninstalled shredder, and we are strategically evaluating alternatives for the location of this shredder. Commercially, our 4 mills continue to be ranked in the top 10 in overall customer service as rated by the Jacobson & Associates Steel Customer Satisfaction Report. We take pride not only in the overall rankings but our continued improvement over time. Shifting to our international markets. In our 2014 fiscal third quarter, we commissioned a new Electric Arc Furnace in Poland. Thus far, the new equipment has met the nameplate expectations. While we realized a small portion of the expected operational improvements in fiscal 2014, we expect to realize the full benefits of this new installation in our fiscal 2015. Poland's GDP has continued to exceed many other European Union countries, with a calendar year 2014 estimate of 3.3% growth. While GDP growth is a positive, the political turmoil in both the Ukraine and the Middle East remain on our watch list for potential impacts to our business. With that backdrop, we believe that consistent quarterly earnings for the last 3 fiscal years are representative of our commitment to improve our performance. We have continued and we plan to continue to invest in the business, optimize the portfolio and reduce costs appropriately. The positive market indicators previously discussed should translate into both volume and margin for CMC. At this point, I will now turn the discussion over to Barbara Smith, Senior Vice President and Chief Financial Officer. Barbara?
Barbara R. Smith: Thank you, Joe, and good morning, everyone. As Joe mentioned, for the fourth quarter of 2014, we reported net earnings of $34.9 million or $0.29 per diluted share, which compares to net earnings from operations of $4.1 million or $0.03 per diluted share for the fourth quarter of the prior year. Continuing operations for this year's fourth quarter includes after-tax LIFO income of $1 million or $0.01 per diluted share compared with LIFO income from continuing operations of $10.3 million or $0.09 per share during last year's fourth quarter. Net earnings for the year ended August 31, 2014, were $115 million -- $115.6 million or $0.97 per diluted share on net sales of $7 billion as compared to the full year 2013 when we reported net earnings of $77.3 million or $0.66 per diluted share on net sales of $6.9 billion. For the year ended August 31, 2014, after-tax LIFO expense from continuing operations was $8.8 million or $0.07 per diluted share compared with after-tax LIFO income from continuing operations of $34.4 million or $0.29 per diluted share for the same period last year. Turning to our results by segment. Our Americas Recycling segment recorded an adjusted operating loss of $2.1 million for the fourth quarter of this fiscal year compared with an adjusted operating loss of $6.7 million in the prior year's fourth quarter. While reporting a loss, we are encouraged by increased ferrous and nonferrous shipments of 2% and 6%, respectively, during the quarter, while average selling prices were stable when compared to the fourth quarter of fiscal 2013. This increase in net sales, coupled with a 2% decrease in average material cost for both ferrous and nonferrous material, resulted in the improvement in adjusted operating profit for the fourth quarter of fiscal 2014 when compared to the fourth quarter of fiscal 2013. Our Americas Mills segment recorded an adjusted operating profit of $63.8 million for the fourth quarter of fiscal 2014 compared with an adjusted operating profit of $58.4 million in the fourth quarter of fiscal 2013. The increase in adjusted operating profit for the fourth quarter of fiscal 2014 was due to a 12% increase in total shipments compared to the fourth quarter of fiscal 2013. The increase in total shipments was driven by a 9% increase in shipments of our higher-margin finished products, including rebar and merchants, compared with the fourth quarter of fiscal 2013. In addition, compared to the fourth quarter of fiscal 2013, our average metal margin expanded by 5% for the fourth quarter of fiscal 2014. The increases in shipments and metal margin in the fourth quarter fiscal 2014 were offset by a $13.5 million unfavorable change in pretax LIFO -- from pretax LIFO income of $7.4 million in the fourth quarter of fiscal 2013 to pretax LIFO expense of $6.1 million in the fourth quarter of fiscal 2014. Our Americas Fabrication segment recorded an adjusted operating profit of $8.1 million for the fourth quarter of fiscal 2014 compared with an adjusted operating profit of $8.2 million in the fourth quarter of fiscal 2013. Shipments in the fourth quarter of fiscal 2014 were strong, increasing 17% compared to the fourth quarter of fiscal 2013. However, a $5 per short ton decrease in average selling prices, coupled with an increase in input costs, resulted in an 8% decline in metal margin for the fourth quarter of fiscal 2014. This decline in metal margin in the fourth quarter of fiscal 2014 was offset by a $3.1 million increase in pretax LIFO income, resulting in a flat adjusted operating profit compared to the fourth quarter of fiscal 2013. This segment entered fiscal 2015 with a stronger backlog when compared to a year ago. Our International Mill segment recorded an adjusted operating profit of $5 million for the fourth quarter of fiscal 2014 compared with an adjusted operating profit of $8 million in the prior year's fourth quarter. Average selling prices increased $14 per ton and outpaced a 1% increase in the average material cost. However, an 11% decrease in total shipments for the fourth quarter of fiscal 2014 drove the $3 million decline in adjusted operating profit compared to the fourth quarter of fiscal 2013. Our International Marketing and Distribution segment recorded an adjusted operating profit of $13.2 million for the fourth quarter of fiscal 2014, a significant turnaround compared with an adjusted operating loss of $16.2 million in the prior year's fourth quarter. The $29.4 million improvement in adjusted operating profit in the fourth quarter of fiscal 2014 was primarily the result of charges recorded in the fourth quarter of fiscal 2013 for goodwill and other asset impairment, as well as onetime exit costs to close unprofitable locations. Our Marketing and Distribution division headquartered in the United States reported improved results for the fourth quarter of fiscal 2014 when compared to the prior year's fourth quarter. However, our European trading division continued to suffer weakened results in response to continued weakness in the region. During the fourth quarter of fiscal 2014, we amended the terms of our U.S. revolving credit agreement, with increased -- which increased the capacity under this agreement to $350 million and extended the maturity date to June 2019. The amended agreement also contains more favorable covenant terms. In addition, we amended the terms of our $200 million U.S. sale of accounts receivable program. This amendment extended the term of the agreement to August 2017. Previously, this agreement was set to expire in December 2014. Our balance sheet remains strong. Cash and short-term investments totaled $434.9 million as of August 31, 2014, which is an improvement of $56.2 million over the end of the prior year. Our available liquidity, including our $350 million revolver and other credit lines, is in excess of $1 billion. This liquidity position gives us flexibility to act as market opportunities become available. Capital expenditures for 2014 were approximately $101.7 million. We are estimating our 2015 capital budget to be between $140 million and $180 million. Many of these projects aim to address unlocking additional efficiencies and production capabilities at many of our facilities. Thank you very much. I'll now turn it back over to Joe for the outlook.
Joseph Alvarado: Thank you, Barbara. Fiscal 2014 was another strong year. We took great strides towards both our short-term and long-term goals. Reviewing again our key highlights for the quarter and year. In line with our long-term goals in 2014, we continue to focus on improving our overall cost position, improving or rationalizing underperforming assets and investing to grow the business. Consolidated fiscal 2014 adjusted EBITDA was the highest since fiscal 2008. We divested our copper tube manufacturing operation, Howell Metal, in the first quarter of 2014. In August, we took action to exit our steel trading operation in Zug, Switzerland, and we also took decisive action to exit our Australian distribution business. We completed the installation and commissioning of a new modern Electric Arc Furnace at our Polish steel mill operations, and the plant now operates with only 1 Electric Arc Furnace. We completed the acquisition of Newell Recycling, securing an additional source of low-cost raw material for our Texas operation. We invested over $100 million in CapEx throughout our operations, and we are planning for even higher levels of CapEx in 2015 and beyond to organically grow our business. Our balance sheet remains strong with liquidity in excess of $1 billion, and we are committed to returning capital to our shareholders in addition to investing in our business, as evidenced by our newly authorized share repurchase program. With respect to our fiscal year 2015 outlook, many of our key market indicators have shown strength in recent months. For example, the Architecture Billings Index was 53 for the month of August, following 55.8 in July, which was the highest mark since 2007. The Eurozone economy is growing gradually, with rising construction activity. While macroeconomic and geopolitical concerns remain, all indications suggest continued market growth in fiscal 2015. As a reminder, our fiscal first quarter historically sees some seasonal slowing as we approach the upcoming holidays and winter weather in the U.S. as well as Poland and the markets we serve in northern Europe. Thank you for your attention. At this time, we will now open the call up to questions.
Operator: [Operator Instructions] Our first question comes from Luke Folta of Jefferies.
Luke Folta - Jefferies LLC, Research Division: A lot of questions here, but I guess I'll try to limit. First thing, International M&D profitability really stepped up a lot here this past quarter. I would assume that some of that probably has to do with the U.S. importing business. But just was hoping to get some more color on what drove that.
Joseph Alvarado: Yes. There are 2 elements to the improved performance, Luke. Most of it is U.S.-based, and it's not only steel trading activities, but raw material trading activities as well. We already mentioned in our comments that we closed our Zug office because it's a more difficult environment. But the U.S. remains a strong market for trading activities, and we are able to capitalize on that.
Luke Folta - Jefferies LLC, Research Division: Okay. But there wasn't anything in the number that would be sort of a gain on the sale of something or shutting something down somewhere? This is all genuinely just better activity in the U.S.?
Joseph Alvarado: Yes, operating results-based.
Barbara R. Smith: Yes. Luke, there were no unusual items in that segment.
Luke Folta - Jefferies LLC, Research Division: Okay. And then, on the Polish business, you noted in your comments that shipments were down 11% there, but you didn't give much color in terms of what the driver of that was. Was that more market demand-based? Or did that have something to do with just lingering effects of the new EAF switchover?
Joseph Alvarado: Nothing to do whatsoever with the EAF. It's more market. The Polish market has been pretty volatile from a margin and pricing perspective, in particular. And there, in a couple of periods during the year, we're -- we've reacted to market situations, and in some instances, we're not participating in what we believe are practices that just don't make good economic sense. There's always a prevailing pressure, too, however, that economic uncertainty in the region has an impact. For example, a significant portion of what we ship as merchant product goes into the German market, and the German market has been impacted somewhat by Russia, more so than Poland, and activity with Russia. And so that just creates more available supply and more competitive margins and would preclude us from participating in some of those shipments during the quarter. So there's some volatility that's natural with construction in addition to all that.
Operator: We have Michael Gambardella of JPMorgan.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: I have just maybe a question again on this International Marketing and Distribution, the $13.2 million profit. Is there any way you can give us any more detail on that? I mean, is that -- that doesn't seem like something that's a repeatable occurrence. Or can you give us anything so we can understand what that represents?
Barbara R. Smith: We generally don't break it down by the various segments within the International Marketing and Distribution segment. But I would say we've been working hard to improve the results in Australia. However, Australia was still a negative contributor within the quarter, and we've made a decision to exit the Australian distribution business. So we'll be evaluating whether we can drop that down to discontinued operations in the coming quarter, and that should make the M&D segment a little cleaner and clearer for you. Steel -- the cold mill business, raw material business in the U.S. and the steel business in the U.S. were just -- were stronger this quarter, and it's reflective of the results.
Joseph Alvarado: Mike, I guess, I'd add to that, that our -- the activity in Southeast Asia, in particular, volume, a lot of movement of volume. Not necessarily high margin, but our volumes were up pretty significantly.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: In Asia or moving product from Asia to the U.S.?
Joseph Alvarado: Not to the U.S. necessarily, mostly inter-Asia, inter-APAC region trading.
Michael F. Gambardella - JP Morgan Chase & Co, Research Division: Would you say the $13 million is a repeatable number?
Joseph Alvarado: Yes, it's repeatable across the board between our raw materials and steel trading activities.
Operator: Next, we have Timna Tanners, Merrill Lynch.
Timna Tanners - BofA Merrill Lynch, Research Division: I'm going to continue with the same theme. I think we're all trying to get a handle on how to think about your 2015, and you have these 5 separate segments. So if I could, it looks like, if we continue to believe nonres improves, which is, I think, a fair assumption, we're going to have better mill performance ideally and more fabrication. But I think the confusion is still on how to think about, as you've been hearing, the fabrication and distribution. So you've addressed that a little bit. But can you give us some more thoughts on the recycling business? And fabrication and distribution has been kind of up and down. So just along the same lines, if we assume that demand is improving for nonres, but the challenging conditions continue in recycling, are there things that you're doing structurally to improve that in recycling? And are there things that could sway fabrication and distribution beyond kind of normal demand improvement?
Joseph Alvarado: So let me try and answer a lot of them as best I can. So first, starting with the M&D business. There's a significant amount of volatility associated with our raw materials and steel trading business. So while the number is repeatable, there are going to be times when shipments are delayed or deliveries are delayed and could have impact on a quarter-to-quarter basis. But there's some smoothing that occurs over the normal cycle of business in M&D and those trading activities. As regards to the recycling business, the recycling business is, as you know, a very tough, very competitive business these days. And certainly, there is pressure on scrap pricing as a result of what's going on globally with iron ore pricing. And I think that's probably most logically manifested in the level of exports from the United States to foreign shores, whether in Europe or from the West Coast to the Pacific region, in Asia. And so as a result, that's put downward pressure on prices. And we continue to work hard to improve operating efficiencies and performance. Now there isn't as much room in conversion costs in a recycling operation as there is in a mill operation, but we're very aggressive about that. And there's no doubt that we would benefit from strengthening in prices, and it's going to be a tough road for us and for all recyclers in the future. And so an important element of our recycling business is that it is our raw material sourcing for our steelmaking business. So unlike some of our competitors, we aren't looking at it only as a retail business. And where fabrication is concerned, which is the third question that you asked me -- or things that I should comment on, our fabrication business remains active, a slight increase in the backlog and better strength all around, at least in terms of bidding activity. But there, too, we're under pressure from -- on margins from imports. And I mentioned that we're pleased with the results from the ITC decision on Mexico. But the Turkish imports are barely touched, with nearly de minimis duties associated with imported Turkish product. And they remain a force, particularly in the Gulf Coast region, which has a tendency to make that business very, very competitive. What we're doing is being more discerning in markets that are stronger for us, where we can be, where we can differentiate and creating value for our customers. And we prefer that type of business to business that's strictly based on price.
Timna Tanners - BofA Merrill Lynch, Research Division: If you can indulge me in a follow-up. If you could just talk about demand in nonres since I kind of gave as a premise that it's getting better. But are you seeing anything on the energy side, given your Texas presence, of weakness on the price? And are you more or less enthusiastic about nonres recovery from the last time we spoke to you?
Joseph Alvarado: Yes. We are more confident about the nonres recovery. The numbers keep aiming upwards, and the ABI as an index for future demand has some positive correlation. And I think what we're seeing is some of the benefit of several months of higher than 50 ABI projections. So that, plus the fact that -- we are in Texas. And Texas is a big part of our portfolio, all of the Southeast is. And construction activity is strong here, and it's improved in Houston. But it is more isolated to Texas and our Central region than it is anywhere else. In the East, it's more isolated to the Beltway and South Florida. And in our West region, it's more the coast than the desert states. So the pockets of demand are strong in certain -- stronger in certain regions than other. But we're seeing improved bidding activity across the board. Now there's a difference between bidding and getting a job awarded, but that activity itself is encouraging. And as far as energy prices are concerned, there's been a lot of speculation about oil at $80 a barrel or below and what that does to drilling activity. I don't think anyone projected that oil prices would be where they are today a month ago, and I'm not sure that anyone can project where they'll be a month from now. But certainly, the increased shale drilling has had a positive impact on energy pricing and availability. But ultimately, if it goes too low, that'll slow that drilling activity. We're not seeing a strong correlation between oil prices and construction activity.
Operator: Next, we have Brian Yu of Citi.
Brian Yu - Citigroup Inc, Research Division: I wanted to drill down on the International M&D, too. Barbara, I think you had mentioned earlier that Australia was losing money. Can you give us a sense of what kind of headwind that was in the quarter so that we can think about what the impact is if you guys should start stripping it out?
Barbara R. Smith: Since we're in the process of marketing that business and we haven't historically given the breakdown by the various lines, I would prefer not to go into that much depth.
Brian Yu - Citigroup Inc, Research Division: Okay. Does this mean I still have 2 questions left? All right. So on the steel imports, obviously, that had some benefit to international. And then the -- some of the things that we've been hearing is just, from a logistics standpoint, rail, warehousing or other, that there's going to be a limit to how much steel the U.S. could support. I was wondering could you -- what your thoughts on it or any feedback you've heard from your customers, given that you're in this business.
Joseph Alvarado: Brian, I'll try and take that question. And remember that there are significant lead times on imported product no matter where they might be coming from. This -- the whole logistics of entering an order, financing an order, getting it shipped and getting it to someone's warehouse floor takes a long time. And you might recall, going back 3 or 4 months, that there was significant discrepancy between U.S. pricing and pricing in global markets. So it's kind of natural that import activity would pick up over time. And as prices decline -- I'll use flat roll and talk about flat roll, which is a more broadly discussed topic. As prices decline, that's going to squeeze importers and margins to the point where it becomes less prevalent in the market. But you have to watch it over time. And imports are up, and pricing will determine more than anything else the ability of the economy to absorb and for people to speculate on purchasing steel inventories, which obviously has its cascading effect in the production levels. Production levels, overall, still remain fairly flat on a national basis, below 80% of effective capacity. That number hasn't moved too much despite the gyrations of imports in and out of the market. So I'm not sure I've really answered your question much. I just tried to explain that there's going to be volatility.
Brian Yu - Citigroup Inc, Research Division: Yes. I guess my question is more pertaining to just the logistics. Is there a limit to -- have we reached that limit in terms of the steel that we could bring in here, given the rail bottlenecks? And could echo -- you hear about warehouses along the Gulf now there has [ph] -- that are full and just can't really take much. But I don't really have eyes on the ground.
Joseph Alvarado: Yes. So to answer that question, yes, we're concerned about logistics in the U.S. Recent legislation or enactment of laws that make it more difficult for us to secure truck traffic or trailer traffic and time has had an impact. It's caused our costs to go up. Rails have been more dominated by energy shipments than they have been by other commodities, and that continues. There's a significant -- a dramatically significant increase in the amount of railcars that are being used to transport crude in lieu of the availability of pipeline. So that puts pressure on availability. Ocean-going vessels, there's ample supply, so that's not the issue. So yes, I understand what you're saying, and it'll have an impact -- it has an impact on all of our costs, whether domestically manufactured or imported.
Brian Yu - Citigroup Inc, Research Division: Okay. And then maybe switching topics. I know this hasn't been talked about much lately. It's just -- you guys are kind of -- you're running somewhat out of capacity, and I was wondering, as you look at opportunities, is the -- would you be looking at another replica of the Arizona micromill and maybe try to find pockets where you could try to grow your production?
Joseph Alvarado: Well, as I said, Texas is a really strong market for us. And a micromill or any mill, for that matter, has a couple-year lead time. So we look at that and try to evaluate where we see growth opportunities throughout North America. And then I would say the strongest demand for product is in the Gulf Coast, and Texas in particular. And that's why we see such a high level of imports into the Gulf Coast region. And with Mexico out of the picture from an export of rebar perspective, that perhaps creates some opportunities for us. But a micromill or a conventional mill, doesn't matter, there's a long lead time. It's a 24- to 30-month time period, and we don't see out that far just yet.
Operator: The next question we have comes from Brent Thielman of D.A. Davidson.
Brent Thielman - D.A. Davidson & Co., Research Division: The quarter-over-quarter, I guess, Q4 versus Q3, decline in margin in Americas Mills, are you saying that's principally related to imports?
Barbara R. Smith: I'm sorry, could you repeat your question?
Brent Thielman - D.A. Davidson & Co., Research Division: Well, if I look at Americas Mills, your volume is relatively similar to Q3. Your metal margin is up a bit. I'm just trying to reconcile why margin came in...
Joseph Alvarado: It was LIFO.
Barbara R. Smith: It was purely the LIFO.
Brent Thielman - D.A. Davidson & Co., Research Division: Got you, okay. Okay, great. And then, in fabrication, did you see metal spreads increase from beginning to end of quarter? And is the competitive bidding environment there kind of allowing you to move a little faster around fluctuating input costs?
Joseph Alvarado: It's really spotty. I have to be really honest with you, Brent. In some regions, our margins are improving or the spreads are improving. In others, we'll find pockets of aggressive bidding on projects that just don't make any sense to us. And that's why I highlighted the point earlier that we're managing our business for value creation. We don't just want to be price competitors. We feel we have a lot more to offer in the way of services to our customers, and we try to emphasize that in our bidding activity. So it's really spotty. It changes or it varies from market to market.
Brent Thielman - D.A. Davidson & Co., Research Division: Okay. And then just the uptick in fabrication backlog, is that more private or public construction driving that?
Joseph Alvarado: Certainly, more private. We're seeing a significant continued shift towards private activity, which is good. We like that.
Operator: Phil Gibbs, KeyBanc Capital Markets.
Philip Ross Gibbs - KeyBanc Capital Markets Inc., Research Division: I had a question on your CapEx program for fiscal '15 and some of the things we may think about there as far as opportunities.
Barbara R. Smith: Yes. Our increase in CapEx is really a whole host of projects. But we do have a number of attractive projects that can allow us to do some debottlenecking or improve efficiency and increase throughput. We have some also attractive cost reduction-type projects that we expect to deploy in the coming year. We have some rebuild projects also that are normal course of things that need to be rebuilt over a period of time.
Philip Ross Gibbs - KeyBanc Capital Markets Inc., Research Division: Okay. And the sale or wind-down process of the Australian distribution assets, how do we think about that ideally moving forward? Is that a process where inventories are essentially going to come down over a period of time? Or are you still -- or is it a tough question to answer because you still may or may not be canvassing the assets?
Barbara R. Smith: Well, we will continue to work to improve the overall cost structure and improve the business. But we, at this time, are also preparing it for sale as a going concern. It's a little too difficult at this early stage to predict timing or outcome.
Philip Ross Gibbs - KeyBanc Capital Markets Inc., Research Division: Okay. And then just as far as housekeeping, where did the impairment -- I think it was a little over $2 million. Where does that flow through on a segment basis? And then also, if you have the LIFO -- the pretax LIFO by segment, that would be helpful.
Barbara R. Smith: Okay. The impairment, most of it hits the Recycling segment. If you recall, earlier, we made a decision to idle our El Paso shredder. And so we took another decision that we would not be restarting that. And so we took an asset write-down of around $1.6 million that would have hit the recycling segment. And then there was about $0.5 million related to the remaining book value on the old furnace in Poland. So that would have hit the International Mill segment. In terms of LIFO by -- for the quarter, Recycling was an income of $275,000. The Mills were an expense of $6 million, $6.1 million. Fab was LIFO income of $3.8 million, and International M&D was LIFO income of $3.5 million.
Operator: Next, we have Aldo Mazzaferro of Macquarie.
Aldo J. Mazzaferro - Macquarie Research: Just had a quick -- on your scrap business, if we look out and say the dollar is going to stay stronger, Turkey is getting billets and it remains soft, let's say that, I'm wondering how your steel mills are able to take advantage of that. Can you say roughly how much the U.S. mills purchase from Commercial Metals' scrap operations, roughly as a percent?
Joseph Alvarado: You mean our competitors or our own operation?
Aldo J. Mazzaferro - Macquarie Research: So how much of the scrap that your mills consume comes from Commercial Metals' scrapyards?
Joseph Alvarado: About 45% -- I would say 40%, 45% comes directly from our own yards. The rest from third party. And as you know, we all help one another in trying to manage our freight and logistics and keeping our costs low. The nice thing about having control of the raw material is the ability to expand in periods of tightness to above that 40%, 45% level as required. Securing the supply is important, but we're also very mindful of the scrap grades that we're processing and what we need for our furnaces and the benefits of selling to third party as an alternative.
Aldo J. Mazzaferro - Macquarie Research: Great. And so, if you balance yourself out then and you say, as a mill with a scrap company, are you right in the middle in terms of net long, net short scrap? Or would you say you're leaning one way or the other?
Joseph Alvarado: Yes. Aldo, I feel pretty good about our position and our ability to flex. Now in Poland, the numbers are about the same, in the 40%, 45% range, and the rest is third party. So we don't have the same level of scrap processing capability. And bearing in mind that all -- nearly all of our scrap processing capability is in close proximity to our mill. We don't have recycling yards or shredders or any sorts of yards in the Midwest or the Northeast or the Pacific Northwest, because those would be strictly retail for us. And so we're more attuned with a model that allows us to flex, closer to our mills with sourcing and then selling the remainder to third party as retail.
Aldo J. Mazzaferro - Macquarie Research: Great. And those third-party shipments, not much of that is export, I would bet, right? Or would you say a lot is export?
Joseph Alvarado: No, not much is exported. We export more nonferrous as a percentage of our total business than ferrous. Ferrous is very small to nonexistent. And we don't have a deep seaport, so that creates a competitive disadvantage for export. And export prices are pretty tough these days. As you already noted, we're getting reports that billets are being used in lieu of scrap in a lot of foreign locations because of the cheap availability of billets.
Operator: [Operator Instructions] Next, we have Barry Vogel of Barry Vogel & Associates.
Barry Vogel: First, a question for Barbara. Can you tell us the operating rate in your steel mills in the fourth quarter and in fiscal '14?
Barbara R. Smith: You're talking about capacity utilization?
Barry Vogel: Yes, at your steel mills.
Barbara R. Smith: Yes. Barry, we don't -- we haven't been disclosing exact figures. But I think you know the industry as a whole has been running in the high 70s. And because, as Joe mentioned earlier, of our position in Texas and some of the stronger regions in the U.S., we do run a bit above that.
Barry Vogel: So above the high 70s?
Joseph Alvarado: Yes.
Barry Vogel: Let's call it 80%, give or take. And Joe, I have a question for you. What is your opinion of the significant pickup in consolidations domestically over the last several months? And how do you think it might affect your steel business?
Joseph Alvarado: So I -- Barry, I would differentiate between flat and long products. Consolidation in the long product segment took place a long time ago. And I think that there have been some positive benefits in terms of discipline in the market. That's a result of more consolidated capacity and direction. I guess what I would say is I see the same thing happening on the flat roll side, wherein, basically, 3 different commercial organizations have been taken off the street and replaced by existing domestics. That consolidation, I would expect, would help in moderating behaviors such that we wouldn't see some of the wild swings that have certainly been experienced even more so on the flat roll side than on the long product side. So net consolidation, I think, is good, both for the consumers as well as for the producers.
Barry Vogel: Now as far as the nonresidential end user market, obviously, there are a lot of questions on this call as to what extent it is happening, and of course, every company has a different situation. Could you give me some -- give us some idea of the impact for the Americas Mills segment in fiscal '15 if the trend continues to improve in terms of the operating leverage you think you'll have there?
Joseph Alvarado: Yes. So nonresidential construction specifically, construction spending dollars year-on-year is up about 6%. That's a significant increase in demand activity. I think the more significant element for us is, referring to an earlier question about the mix, is a shift towards private from public. Public normally requiring longer lead time and longer exposure to fixed-price contracts and the private sector being a little bit shorter lead time and less exposure to fixed-price contracts. So the overall benefit would -- is more significant, in my view, in the shift towards more private investment, which is the nonres, away from the public than it is in the overall spend, particularly in markets that we're serving.
Operator: Next, we have Andrew Lane of Morningstar.
Andrew Lane - Morningstar Inc., Research Division: Just to piggyback on the last couple of questions here, but more from the raw material side. The texture and landscape of the steel industry in the southern United States is undergoing some changes, considering Big River Steel's market entry, the acquisition of Severstal's Columbus mill, the impact of Nucor's DRI project and down the road, U.S. Steel's changeover to an EAF at Fairfield. So even though you might not necessarily serve the same end markets as these other mills, how do you anticipate these changes will impact your business model with regard to ferrous scrap flows and metal margins?
Joseph Alvarado: My view -- we're speculating on a lot of things that haven't been authorized yet or approved. And I guess I'd refer to U.S. Steel moving to an electric furnace and the Big River project is still some period away. They'll, no doubt, have an impact on supply and demand and availability. What I would anticipate is a lot more freight dollars will be spent in the southern states to support the appetite for the electric arc furnaces that are going to be built. There's certainly ample supply available on a national basis. And then it becomes a function of competing with offshore sources that, at least this year, have declined in their overall demand. And partly, that's because of availability of products from Asia, in particular, using the example we discussed with -- or commented on with Aldo of Chinese billets being made available at very attractive prices, even below the cost to melt in some countries. So there's no doubt that if all that capacity comes onstream or when it all comes onstream, it'll tighten up supply and cause more freight costs to be associated with moving scrap to get it to the mouth of the furnace. Hence, our desire to be as self-dependent as possible, and the Newell acquisition fits perfectly with protecting our source of raw material for our Seguin operation.
Operator: Well, at this time, there appear to be no more questions. Mr. Alvarado, I will turn the call back over to you for any closing remarks, sir.
Joseph Alvarado: All right. Well, thank you very much for moderating for us. And thank you to everyone that listened in on the call today. We appreciate your questions and your insight, your desire to learn more about us, and we look forward to meeting with many of you in meetings that we'll be holding over the next couple of weeks. Thank you very much.
Operator: The conference call is now concluded. At this time, you may disconnect your lines. Thank you, and have a great day, everyone.